Operator: Good day and welcome to the New York Times second quarter 2008 earnings conference call. (Operator Instructions) For opening remarks and introductions, I would like to turn the call over to Ms. Catherine Mathis. Please go ahead, Madam.
Catherine J. Mathis: Thank you and welcome to our second quarter earnings conference call. We have several members of our senior management team here to discuss our results with you, and they include: Janet Robinson, our President and CEO; Jim Follo, our Senior Vice President and Chief Financial Officer; Martin Nisenholtz, Senior Vice President, Digital Operations; Denise Warren, Senior Vice President and Chief Advertising Officer for The New York Times Media Group; and Roland Caputo, Chief Financial Officer for The New York Times Media Group. Denise and Roland are sitting in for Scott Heekin-Canedy, who is traveling today. Our discussion will include forward-looking statements and our actual results may differ from those predicted. Some of the factors that may cause them to differ are included in our 2007 10-K. Our presentation will also include non-GAAP financial measures and we have provided reconciliations to the most comparable GAAP measures in our earnings press release, which is available on our corporate website, www.nytco.com. An archive of this call will be available on our website, as will a transcript and a version that’s downloadable to an MP3 player. With that, let me turn the call over to Janet Robinson.
Janet L. Robinson: Thank you, Catherine and good morning, everyone. The results we announced today reflect both a slowdown in the United States economy as well as secular forces affecting our industry. Second quarter EPS from continuing operations was $0.15 per share, compared with $0.15 in the second quarter of 2007. We had no special items this past quarter but in the comparable quarter last year, we had two -- a $0.29 loss on the sale of our New Jersey printing facility, and a $0.15 gain on the sales of our radio station. In total, these special items reduced EPS by $0.14 per share in the second quarter of 2007. Therefore, excluding the special items, EPS from continuing operations was $0.29 in the second quarter of last year. Since most analyst exclude buy-out costs in making their EPS estimates, I should point out that ours totaled $0.11 in the second quarter of 2008, $0.09 a share more than we recorded in the same period last year. In the midst of this softening economy and the litany of tough numbers that it spawns, it is no surprise that our business is challenged. In light of that, we want to make sure that several key points that are important to our future are not lost. First, continued strength of the Times’ brand is evident in our ability to raise home delivery and newsstand prices, which in turn is reflected in the growth of our circulation revenues. It is also reflected in our ability to increase our print revenues in the luxury advertising category. Second, as we continued our transformation, Internet revenues grew strongly, and our digital innovations position us well for the future. And last, we have been and will continue to be very disciplined in reducing costs. This quarter, our operating cost excluding depreciation, amortization, and buy-outs were down 3.6% in the quarter. Jim will discuss in greater detail the many steps we are taking to continue to drive down costs without detracting from the quality of our journalism or our ability to achieve our strategic objectives. Turning now to revenues, total revenues for the company declined 6%, with ad revenues down 10.6%, circulation revenues up 2.5%, and other revenues up 2.5%. Ad revenues at the news media group decreased 11.8%, with national advertising down 5.7%, retail down 9.5%, and classified down 24.4%. At the Times media group, ad revenues decreased 9.5% in the quarter. National print categories that performed well included live entertainment, which has been helped by increased concert and Broadway theater advertising; corporate, which benefited from advertising from energy companies; and fashion jewelry, which saw increased revenues from both fashion and watch advertisers. In total, luxury print advertising, which makes up about 10% of the Times media group’s advertising revenues, increased in the low-single-digits, in part due to the performance of our T-branded Sunday supplemental magazine. The national print categories where we saw the largest declines were telecommunications, which decreased as wireless carriers reduced their advertising; studio entertainment, which was up against very strong growth in June of 2007; and technology products, which declined as a result of fewer new product campaigns. Classified advertising decreased in all three major categories -- recruitment, real estate, and automotive. Retail advertising revenues were down due to decreased advertising from department stores, mass market, and home furnishing stores. At the New England media group, advertising revenues declined 15.1%. National ad revenues decreased in the second quarter with the largest declines in telecommunications, pharmaceutical and packaged goods, and travel categories. Retail advertising revenues decreased due to weakness in department store, home improvement, and apparel advertising. As was true at the Times, live entertainment advertising increased in the quarter. Overall, classified advertising at the New England media group was soft in all three major areas -- recruitment, real estate, and automotive. As in other U.S. cities, real estate advertising declined in Boston due to the soft housing market. In the regional media group, advertising revenues decreased 16%. Approximately three quarters of the decline was due to less classified advertising. The declines this quarter were again concentrated at our newspapers in Florida and California, which have been deeply affected by the troubles in the housing market. Total circulation revenues were up 2.5% in the quarter, mainly because of higher home delivery and newsstand prices. The Times increased home delivery and newsstand prices last July and earlier this month. It increased home delivery prices an average of 4.5%. We plan to increase the daily newsstand price of the Times from $1.25 to $1.50 effective August 18th. The Globe increased its newsstand price in the metropolitan Boston area from $0.50 to $0.75 in February. Other revenues at the news media group rose 1.4%, as a result of rental income from space we lease out in our new headquarters and additional commercial printing revenue. In August, we began leasing out an additional floor in our new building, bringing to six the number of floors leased. In the fourth quarter of 2007, the New England media group began its multi-year contract with Gatehouse Media to print two of its daily papers in the Boston market. The group already prints several newspapers, including Metro Boston and The New York Daily News. At our digital operations, our strategy is delivering strong revenue growth, which we believe will be important to our success for many years to come. In the Internet arena, we are focusing on three key levers -- attracting more users, deepening their engagement, and then monetizing their usage. In total, our digital businesses grew nearly 13% in the quarter and generated $91.3 million, or 12.3% of the company’s revenues. Internet advertising revenues generated 18.3% in the quarter. The About group had another strong quarter. Total revenues grew 15.8% to $28.6 million because of increased cost per click advertising and the acquisition of consumersearch.com in May of 2007. The ongoing development of content verticals across all of our websites has helped the Times Company become the 11th most visited parent company on the web in the United States, with 47.2 million unique visitors in June, up approximately 10% from June of 2007. Our reach represents nearly 30% of the online audience in the United States. NYTimes.com continued to show exceedingly strong traffic growth, as we provided access to the content that was formerly part of Times Select, the paid product we made free last September, and we have accordingly benefited from the growth of search as the dominant entryway to the web. According to Nielsen Online, in June the number of unique visitors totaled 17.7 million, up 41%. The audience of NYTimes.com is nearly twice the size of the next newspaper website. For the month of June, Nielsen Online again ranked NYTimes.com the number one newspaper website, a position it has long held. In the quarter, display advertising at NYTimes.com was particularly strong, given our robust traffic growth, our investments in our verticals, and our success in selling innovative new formats. Looking at the balance of 2008, we see continued challenges for advertising in a faltering economy. To date in July, we have seen the effects of the deepening economic slowdown, particularly in categories sensitive to the price of oil -- airlines, hotels, and autos. And we expect that this will continue for some time to come. These are difficult times in the media industry. We believe, however, that we have many strengths that are helping us successfully transform our company. We have strong and trusted brands that we are leveraging into new products in print and online. Our digital businesses have been growing at double-digit rates and we are increasing the share of our revenues and profits that come from our online businesses. We have a proven commitment to expense reduction and are executing well on our expansive program to reduce our cash cost base. Let me turn the call over to Jim who will tell you more about that.
James M. Follo: Thank you, Janet. We continue to tightly manage our expenses in the second quarter. Operating costs excluding depreciation and amortization and buy-outs declined 3.6%, mainly as a result of lower compensation costs and newsprint expense. Depreciation and amortization in the quarter totaled $32.6 million versus $46.6 million in the same period a year earlier. The decrease was mainly due to the fact that we had no accelerated depreciation this quarter. In the second quarter of last year, we had $13.1 million in accelerated depreciation with the consolidation of our New York area printing plans, which we completed in March of this year. As Janet mentioned, buy-out costs increased in the quarter and totaled $27.6 million, versus $5 million, a swing of $22.6 million or $0.09 per share. You’ll note in our guidance that we increased the amount we expect to spend on buy-outs this year from a range of $30 million to $35 million to a range of $40 million to $50 million. In the first half of this year, we spent a total of $38.8 million on buy-outs. Compensation costs declined in the quarter due to lower incentive compensation and a reduced workforce. Newsprint expense decreased 10.1%, with 16.8% from lower consumption, offset in part by a 6.7% increase in prices. The Times reduced the width of its printed pages last August and the Globe did so in the fourth quarter, further decreasing our newsprint consumption. In May, we reduced the width of our Florence, Alabama paper to a 44-inch web width and we are planning to move six other regional newspapers to that size. These initiatives are expected to result in newsprint savings of approximately $12 million on an annualized basis. We are executing well on our program to reduce our cash cost base. We had previously stated that we expected to reduce our 2007 cash cost base by $230 million by 2009, excluding the effects of inflation, buy-outs, and one-time costs. Of this amount, we expected to achieve $130 million in savings this year. As a result of our continuous cost reduction efforts, we now expect to exceed these amounts. We believe that our second half 2008 cost performance will continue to be strong, despite the effect of increased newsprint prices. The progress we have made on our cost reduction measures has occurred across the company. As I mentioned, we completed the consolidation of our two New York area printing plants, which we estimate will save $30 million in annual operating costs. We have successfully lowered our circulation expense by reducing the number of discounted copies and focusing on more profitable ones. At the New England media group, we consolidated the Globe direct mail operations into the Worcester Telegram & Gazette production facility and are moving Boston.com into the Boston Globe’s offices. In our regional media group, we consolidated our Gainesville and Ocala mail rooms. The Gadsden Times outsourced printing of the paper to a new printing facility owned by a third party. We are also pursuing other production efficiencies. At the same time we have been reducing expenses, we have been investing in our digital businesses. This is evident at the About group, where costs increased to $19.5 million from $16.2 million, in part the result of investments in new revenue initiatives. In addition, Consumer Search, which was acquired in May 2007, recorded costs for the entire second quarter of 2008 and only part of the quarter in 2007. While our new revenue initiatives will initially result in lower operating margins, we believe they are critical to growing the About group’s business over the long-term. Similarly, we are also investing in the digital operations of our other websites, which we think is necessary to achieve our long-term growth objectives. Moving to CapEx, our second quarter expenditures totaled $36 million. In the first half of the year, our CapEx amounted to $68 million. For the full year, we expect that our total capital expenditures will be between $150 million and $165 million, including approximately $35 million for the consolidation of our New York area plants and about $22 million for our new headquarters. In closing, recognizing that the media marketplace is in the midst of a significant transition and the economy is weakening, we believe it is more important than ever to continue to exercise strong financial discipline as we execute our business strategy and allocate capital. And with that, we’d be happy to open it up for questions.
Operator: (Operator Instructions) We’ll take our first question from Alexia Quadrani with J.P. Morgan.
Alexia Quadrani - J.P. Morgan: Thank you. Just a couple of questions; first on the digital side, you continue to have very good growth in the online advertising businesses. Could you give us a sense of how pricing is trending on the display side of the business there? Are you seeing any push-back now that the budgets are getting a bit more tighter?
Martin A. Nisenholtz: I’ll start out and then turn it over to Denise for some commentary at NYTimes.com. In general, pricing has held firm. In fact, through the first half of the year, we’ve seen reasonably decent price increases on the major display units across the company. There are -- there has been a bifurcation -- that’s the way we’ve been characterizing it in the past -- between what I would call premium positions on the web and the more general remnant inventory that exists and is characterized in large part by banner advertising. So that bifurcation is meaningful in different ways at our different sites. At NYTimes.com, for example, we don’t see much cannibalization, if any cannibalization of the premium side, either in rate or in our sell-throughs based on our remnant business, which has been growing quite nicely. On the contrary at About.com, we have seen softness in the display categories, in part because we think we have had execution issues there and to Jim’s earlier point, we’ve invested behind those issues in building the sales team over the last half of the year. So in general, to date I think we’ve seen a strength on the rate side.
Denise Warren: At NYTimes.com, about 50% of our overall revenue is priced on a CPM basis and we have seen increases year-to-date year over year in the CPM price business. In addition, as Martin alluded to, we try to maximize all of our revenue and all of our inventory, so we do sell some of our inventory out at the networks and we’ve seen substantial increases in the CPM that we’ve been able to generate from the ad networks. And the fixed price units that we saw, which account for about 30% of our overall revenue, we’ve also seen rate increases in as well this year.
Alexia Quadrani - J.P. Morgan: Okay, thank you. And just switching gears over to the print side and looking at that weakness in the Boston Globe, which appeared to have its challenges really before the economy really got tough, looking at that and I guess the performance year-to-date or in the quarter, do you think at this point the weakness of the Boston Globe is really just economy driven, or do you think that’s still a challenging market longer term?
Janet L. Robinson: I think it certainly is economy driven, and you are right to note that indeed their decline started before the economy began to turn. I think that marketplace has been experiencing more recessionary like behavior for a longer period of time than the national economy, and as we’ve noted often because of the strong broadband penetration in Boston and many categories with major advertisers leaving that market in recent years, that has added to the declines, needless to say, that we have seen. It remains a challenged market. Our group up there did some very fine work and is continuing to in regard to capturing as many dollars out of the market as possible, but it certainly is a challenged area of the country.
Alexia Quadrani - J.P. Morgan: And then just lastly, the remaining buy-out expense expected for the year, should we assume that’s going to fall into Q3?
James M. Follo: It will occur both in the Q3 and Q4 about equal amounts.
Alexia Quadrani - J.P. Morgan: Thank you.
Operator: Our next question will come from John Janedis with Wachovia.
John Janedis - Wachovia Securities: Thank you. Jim, just as an expense follow-up, I think you said the D&A and the buy-outs at operating costs were off something like 3.6% in the quarter. When factoring in the balance of the cuts into the second half of the year, is that a decent range, if you will, for 3Q and 4Q, with the increase in newsprint, knowing that’s going higher?
James M. Follo: Just to repeat a comment I made earlier -- we are going to experience higher and accelerating newsprint price increases the back half of the year. Despite that, we’re expecting to see good strong cost performance. While we haven’t given a specific number, we think that -- you know, we are getting some benefits of having some executed some plans early part of the year that we will have some benefits in the back half, so that will give us some benefits that didn’t exist in the front-half. So we continue to be confident in our ability to deliver some good strong numbers but I’m reluctant to put out a specific number.
John Janedis - Wachovia Securities: Okay, and along those lines, is there any kind of impact you can quantify as it relates to increasing gas costs on delivery?
James M. Follo: You know, we look at that often. I mean, it’s easier to do in the distribution side of the business and we think that could be a couple or a few million dollars. It’s much harder to do when it works its way into vendors who ultimately pass through price increases to us, so it’s really a very hard number to put a precise number on.
John Janedis - Wachovia Securities: Okay. And Janet, I think that historically, some of the national auto players, and maybe to some extent the airlines were on annual contracts at the Times, and I’m wondering, is that the case for this year? And does that mean you maybe see a pick-up in rate if they don’t reach frequency during the second half?
Janet L. Robinson: I’m going to have Denise answer that for the Times.
Denise Warren: Very few of those advertisers are on contracts at this point in time.
John Janedis - Wachovia Securities: Okay, and then along those lines, can you help us think about the impact of oil on some of those advertisers? Meaning, is there some sort of level in price where we could maybe see a recovery from the airlines and others?
Denise Warren: It’s going to be hard to predict at what level there would be a recovery. I mean, as of right now, oil prices remain very high and it’s impacting industries across the board. To the extent they remain in the range that they’ve been in, we expect it to continue to impact our performance across the board.
John Janedis - Wachovia Securities: Okay. All right, thanks a lot.
Operator: Our next question will come from Edward Atorino with Benchmark.
Edward Atorino - Benchmark: Well, I was going to ask the cost question, which has been asked. On the circulation, the price hike, would you give sort of a -- is that about a $10 million annual rate, if I take 800,000 circ and rate per week, et cetera?
Roland Caputo: It’s a little bit more nuanced than that. We have contractual obligations with wholesalers, both within the NDM and outside the NDM and the price -- excuse me, the revenue that we net per copy varies. So we’re in the midst of refining our calculations but let me say this -- in the past, we’ve been very pleased with the bottom line impact of each and every one of our single copy price increases, up to and including the one that we implemented in July of 2007, and we expect the results of this one to be comparable to those in the past.
Edward Atorino - Benchmark: Second question, Janet sort of hinted at this -- the June trend was pretty bad. Is July any better, any worse, or can you be specific on that?
Janet L. Robinson: I think that -- I’m going to have Denise add to this, Ed -- I think it’s clear that many of the advertising budgets are tightening up. Not to say that they are totally going away. There may be more opportunity for those to loosen up at the end of the third quarter and the fourth, but right now I think people are tightening those budgets and really saving dollars to perhaps use at a later date. And I think that we have to plan accordingly, which is exactly why as Jim noted, we are focusing -- continuing to focus very much on the cost side of our business.
Edward Atorino - Benchmark: Last question -- any pop in the studio entertainment with the state of -- looks like some good movies coming out?
Denise Warren: As you know, we’ve talked about this category from the standpoint of it being very volatile in terms of the release schedules and our having low visibility. The studios will spend when they do have hits on their hands, but it’s very hard to project whether or not the slate of movies coming out will be those that they will spend against or not, so I’m not at liberty at this time to give a projection on where we think that’s going to go. They still obviously recognize the New York Times as a wonderful place to advertise to get their message out, so that continues. But it really is subject to the vagaries of each individual movie and the box office performance and the competition.
Edward Atorino - Benchmark: Thank you.
Operator: Our next question will come from Craig Huber with Lehman Brothers.
Craig Huber - Lehman Brothers: Just to be a little clearer, your July comments for your newspapers, are the trends there -- I know we’re not done with the month -- are the trends there looking worse than what you saw in June for your two flagship papers on a percentage basis year over year?
Janet L. Robinson: We really can’t give you the specifics, but I think from the standpoint of what we’ve said, Craig, it really is the case. We see some tightening up in a variety of categories. I think the economy certainly has many of the major category clients very concerned and I think that you are going to see some softness across the board at all media companies in regard to the spending patterns, the newspaper media companies.
Craig Huber - Lehman Brothers: A couple of other nit-pick questions; you talked about coming in better than $230 million cost savings in total the next two years. Can you quantify or give us a range of how much better? Are you talking about $20 million, $50 million better, sort of in between?
James M. Follo: We haven’t given a number. We are in --
Craig Huber - Lehman Brothers: Are you willing to now?
James M. Follo: -- and I’m not willing to now, other than we’ve delivered on our numbers in the past and we will deliver on our comments going forward. I will only say that we continue our ongoing efforts and some of the areas that have led to that increase, we’re continuing to push on the production efficiency side, circulation efficiency side, unfortunately on the headcount side. We did pick up our buy-out number from our previous guidance that we gave on the last quarter, so we are pushing on all buttons and we will continue to do that as long as we need to. We think there’s more but we are not willing to specifically -- we’re not willing in a detailed way put -- move that --
Craig Huber - Lehman Brothers: Can you give me a sense -- your editorial staff, the size of your editorial staff at each of your flagship papers, how it compares today versus at the end of say 2006? Your New York Times, you took out what, 7.5% or so of your editorial staff earlier this year but for both staff, how much is down relative to the --
Janet L. Robinson: I can give you the numbers with regard to the New York Times. In total at the beginning of the year, we had approximately 1,350 in the New York Times newsroom. As you know, we did announce a buy-out earlier in the year for approximately 100 people, so it is down. It is still at a very high level. I should point out also that the New York Times newsroom has access, and we use the reporting of the IHT as well, which is between 100 and 150 people. So from a journalistic standpoint, our resources are very strong. I don’t have the numbers on the Boston Globe but if you call me later, I can certainly provide them.
Craig Huber - Lehman Brothers: Do you have the end of ’06 as well for Times?
Janet L. Robinson: Well basically in February, we announced a buy-out, so at the beginning of the year -- I’m sorry, at the end of ’06, I don’t. But I would say that the end of ’07 was the highest it’s ever been.
Craig Huber - Lehman Brothers: Okay, and then lastly, your non-newsprint cash costs in the quarter adjusting for the buy-outs and the one-time items last year, were they down about 4% in the quarter for newspapers?
James M. Follo: It has a little impact on the 3.6%. I think on a pre raw material basis, it was actually 3.5%. I just want to make one point -- I mean, this is the first quarter that we’ve had a negative impact for newsprint prices. We have not seen that previously, so if you were to exclude the impact of prices, our actual performance was about 4.4% better year over year.
Craig Huber - Lehman Brothers: And then lastly, if I could, what should investors use for CapEx for your company for 2009?
James M. Follo: We are still in the planning stages for 2009 but we’ve been very clear that we expect those numbers to be significantly lower than they are this year. There are three large projects this year that will not be repeating next year. We’ve got a fairly significant upgrade, we’ve got the building, which was completed early part of the year, and we’ve got the Edison plant consolidation. When you strip all those out, you are below $100 million. Haven’t given more detailed guidance than that but we expect [there to be] a pretty tight range on our CapEx going into next year.
Craig Huber - Lehman Brothers: Okay. Thank you.
Operator: Next we’ll hear from Peter Appert with Goldman Sachs.
Peter Appert - Goldman Sachs: Thanks. Janet, you gave us some color on categories that are stronger and weaker, but I’m noticing a pretty significant deterioration in the ad revenue trends at the New York Times over the last several months, so at the margin, which of the categories or which of the major advertisers that really cut back most substantially to drive that?
Denise Warren: We did have a weakness in entertainment because of the tough comps that Janet referenced, so I think that’s probably impacting the June performance in a big way. Otherwise the trends are fairly similar to what they have been.
Peter Appert - Goldman Sachs: Okay, and my recollection is entertainment is maybe something like 10%, is that right?
Denise Warren: Yeah, just about -- a little bit higher, actually.
Peter Appert - Goldman Sachs: Okay, and then Jim, in terms of the $130 million cost target for this year, is it possible for you to give us any sort of breakout of the composition of where that 130 comes from?
James M. Follo: You’re asking for detail behind the 130? I certainly talked to you about the categories and we’ve done quite a bit of outsourcing this year. Our circulation efficiencies efforts has been a very large component of that.
Peter Appert - Goldman Sachs: When you say circulation efficiency, is that primarily just less promotion spending?
James M. Follo: It’s some promotional spending but it’s also eliminating what we consider unprofitable circulation and the raw materials that go along with that as well.
Peter Appert - Goldman Sachs: What I was hoping for was maybe you could give us a rough breakout of percent from circ efficiency efforts versus headcount reduction versus other categories.
James M. Follo: I can tell you, Peter, there is not one number that makes up the dominant portion of that $130 million, and there’s a long list of items that are on our list. Again, we continue to look at efficiencies in the delivery department of our business, consolidation of our [inaudible] production facilities. The web width reductions have played a meaningful role. As I’ve said, the Edison plant closing is a pretty big part, $30 million of that $130 million; web width is $12 million, so those are some of the bigger numbers in there and then there’s again a very long list of additional items. And we continue to focus and add more items to the list, things that have previously not been in that 130 are now on the list, and that’s what gives us the confidence that we are going to exceed those numbers.
Roland Caputo: Just a little color on the circulation, because I don’t want you to get the wrong idea that it’s just cutting promotion, but with the quality circulation strategy, you save money on acquisition, you save money on distribution, you save money on printing, you save money on newsprint, you save money on bad debt. So when you wrap that all together, that’s a very large item contributing to the cost savings. It’s not just about not spending promotion dollars. It’s not really about that at all. It’s about the efficiency of the acquisition.
Janet L. Robinson: It’s important to remember, Peter, also that we have off-shored circulation telemarketing and customer service functions, as well as financial back office, and that is ongoing and we are also looking at off-shoring in the IT area as well, and additional off-shoring is extending to [order to cash]. So all of the lists that Jim had noted, plus what Roland has just added, and the off-shoring I think really gives you a very sound list of the kind of efforts that are going on behind our cost reductions.
Peter Appert - Goldman Sachs: Fair enough, and Janet, this is a tough one but as you think preliminarily about 2009, I’m wondering how you think the ad cycle goes in the context of a macro environment that maybe is more or less the same as what we are seeing now. Can you get back to positive revenue comps next year, you think?
Janet L. Robinson: I think we certainly see a tough second half, if indeed the economy continues to act the way it’s acting right now. I think it’s very early for us to be looking at 2009. I think that there are signs certainly from some sources that say that the housing market will not improve until the latter part of 2009 at the earliest, so I think that there is still increased difficult in regard to the ad market going forward, but I think it’s very early for us to be projecting our thoughts regarding that, Peter.
Peter Appert - Goldman Sachs: Okay, fair enough. Last thing then, Janet -- any thoughts on the pending Newsday transaction and how that potentially could impact you guys?
Janet L. Robinson: I don’t think that there will be a huge impact. We certainly have readership on Long Island and there are people that live in the burroughs that read both the Times and Newsday. But I think from a standpoint of our focus, it will continue to be on the quality circulation that is here in the NDM and certainly on the national expansion efforts that continue to play a very strong role in regard to circulation revenue increases and also expansion of our national footprint.
Peter Appert - Goldman Sachs: Thank you.
Operator: Our next question will come from David Clark with Deutsche Bank.
David Clark - Deutsche Bank: Thank you. Good morning. A couple of circulation questions; first, what sort of trend are you expecting for Sunday circulation in the September six-month ABC period? I believe you said that a decent portion of the 9% decline in the March period was due to some deliberate factors, reduction of third party and such. What do you think the underlying rate for Sunday is?
James M. Follo: I’m not prepared to give you a percentage but I will tell you that our last March ABC statement was the last period that comped against a period, a prior period that had material amounts of other paid, either third party bulk or bonus days, so that should help us in our comp coming September.
David Clark - Deutsche Bank: Would you expect it -- so you would expect the September period to be better than the 9% decline?
James M. Follo: Given that piece of information, [I would].
David Clark - Deutsche Bank: Okay, and then I’m just curious, how much subscriber or reader overlap is there between the New York Times and the Wall Street Journal? Is that something you guys know?
Janet L. Robinson: It’s relatively small, David. I would say that it’s around 11% or so.
David Clark - Deutsche Bank: Okay, so 11% of your circulation area also subscribers to the Journal?
Janet L. Robinson: That’s correct.
David Clark - Deutsche Bank: Okay, and then just one final circulation question -- how many subscriptions roughly have you sold through the Amazon Kindle? Is it a meaningful amount? Is the trend there good?
Denise Warren: It’s a small amount but we are under the terms of a confidentiality agreement, so we are not allowed to disclose it.
Roland Caputo: But the -- I’d say that the trends are good.
David Clark - Deutsche Bank: I guess following on that, do you see that, either the Kindle or other potential e-readers, do you see a meaningful opportunity there for increasing circulation?
Roland Caputo: These are R&D efforts. I think that it’s very early days on e-readers. Certainly the Kindle seems to be attracting a lot of attention. We are the number 11th or 12th most purchased product I believe on the Kindle these days, and that I think you can see by simply going into most popular. You can see that on whisper net. But I think it’s safe to say that it’s very early days for e-readers and I would characterize this more as an R&D effort than a meaningful revenue contributor.
David Clark - Deutsche Bank: Sure. Okay, appreciate that. Thank you.
Operator: Our next question will come from Scott [Whipperman] with Goldman Sachs.
Scott Marchakitus - Goldman Sachs: This is Scott Marchakitus. I’m on the credit research side. I just have two quick questions for you. First of all, I just want to talk about the liquidity position. You have an $800 million revolver, half of which expires in mid-2009. I’m just wondering if you could tell us what’s drawn under the total revolver and if you are in negotiations with the banks to extend that facility, for at least the next year’s [debt maturing] for future years. And then secondly, there’s one financial covenant in the bank facility with regard to shareholder equity being $950 million. Can you talk about the add backs to get back to that number and where you stand related to that covenant today? Thanks a lot.
James M. Follo: As far as the borrowings under our revolver, we’re out about $375 million out of a total capacity of $800 million. We are in discussions with our banks that one of our lines, revolvers expires in May of next year. We’re in discussions right now. Those discussions are [inaudible].
Roland Caputo: And regarding the covenant, we have a lot of room relative to that minimum stockholders equity covenant. We’ve [slowed] non-cash impairment charges, so if you add back the charges we had in ’06 and ’07, we’re well ahead of that minimum [inaudible] requirement.
Scott Marchakitus - Goldman Sachs: Are the add backs $800 million in nature, or [that number you’ve disclosed]?
Roland Caputo: If you look at the 2006 impairment, it was about $814 million. In 2007, it was much smaller but we would add those back to our book equity, [the total equity].
Scott Marchakitus - Goldman Sachs: And just a quick follow-up; we’ve seen a lot of downgrades by the agencies in the newspaper sector, particularly among some of the higher yielding names. Now, you stand at low Triple B. I’m just wondering if it’s really important for you to keep an investment grade rating in light of the shareholder demands for enhancing shareholder value, whether it’s restructuring the portfolio or buy-backs or that nature. Is keeping your investment grade rating critical anymore?
James M. Follo: It’s historically been important to us and we consider -- it is the balance between increasing share value and cost of debt borrowing. We balance those two but we’ve historically enjoyed investment grade rating and we expect to do that in the future.
Scott Marchakitus - Goldman Sachs: Thank you very much.
Operator: A follow-up question from Edward Atorino with Benchmark.
Edward Atorino - Benchmark: No, it’s been asked, thanks.
Operator: And that does conclude our Q&A session for today. I will turn the call back over to Ms. Catherine Mathis.
Catherine J. Mathis: Thank you, everyone, for participating today and if you have other questions, give me a call. Thanks so much. Bye now.
Operator: And that does conclude our conference for today. Thank you for your participation and have a wonderful day.